Operator: Good day and thank you for standing by. Welcome to the Calibre Mining Corp. 2022 Q1 Financial Earnings Results and Conference Call. [Operator Instructions].  I would now like to hand the conference over Ryan King, VP, Corporate Development and Investor Relations. Please go ahead sir. 
Ryan King: Thank you, operator. Good morning everyone. Thank you for taking the time to join the call this morning. Before we get started, I’d like to direct everyone to the forward-looking statements on Slide two. Our remarks and answers to your questions today may contain forward-looking information about the company’s future performance. Although management believes that our forward-looking statements are based on fair and reasonable assumptions, actual results may turn out to be different from these forward-looking statements. For a complete discussion of the risks, uncertainties and factors which may lead to actual operating and financial results being different from the estimates contained in forward-looking statements please refer to our 2021 annual MD&A and AIF available on our website as well as on SEDAR. And finally, all figures are in U.S. dollars unless otherwise stated. Present today with me on the call are Darren Hall, President and Chief Executive Officer; David Splett, Senior Vice President and Chief Financial Officer; and Tom Gallo, Senior Vice President, Growth. We will be providing comments on our first quarter results, exploration programs and our outlook for the remainder of 2022, after which, we will be happy to take questions. The slide deck we will be referencing is available on our website at calibremining.com under the Events section. You can also click on the webcast to join the live presentation. And with that, I'll turn the call over to Darren.
Darren Hall: Thanks, Ryan. Moving to slide three. Good morning, everyone and thank you for taking the time to join us today. Before discussing our Q1 performance, I would like to take a moment to recognize Calibre's employees and business partners for their continued focus, which delivered another excellent quarter. In 2018, we established our vision to transform Calibre from an exploration company into a quality multi-asset, multi jurisdictional, and mid-tier gold producer. Following our new market model, the first step in delivering that vision was to identify and acquire gold production with growth potential, which we did with the purchase of a Nicaraguan assets from B2Gold in October 2019. Two years on, I'm extremely proud of how the team have transformed our assets by delivering on our commitment to grow production and unlocked value. Our reporting strategy of integrating the Nicaraguan assets has grown 2022 production, threefold to 185,000 ounces and 60,000 ounces per year. Established La Libertad as a core asset with significant upside potential keeping in mind that the 2.2 million tonne per annum facility was foreshadowed to move into closure in 2020. We've added over a million ounces of reserves with the highest grades. We've increased our net cash position to $77 million from approximately $4 million after reinvesting into sustainability, exploration and mine development, which will fuel future production and cash flow growth.  Turning to Q1. We had an excellent start to the year. We completed the acquisition of Fiore Gold on January 12, and successfully integrated the teams and aligned on critical deliverables. We delivered record gold sales of 52,5000 ounces in the quarter being above budget for both business units, delivered at a total cash costs of 1060 per ounce below full year guidance and all-in sustaining costs of 1199 per ounce below full year guidance, which coupled with the grade driven production growth anticipated in H2, positions a company extremely well for another excellent year. Our Q1 results, we're particularly pleasing given the industry wide cost and resource pressures. The team has realized a number of commercial savings and synergies, including corporate G&A rationalization of headcount, IT, office space et cetera. Executed in Nevada, diesel supply agreements saving approximately $0.06 per gallon, negotiated Nevada exploration drilling agreements, which have secured drilling capacity through 2023 and realize a 38% reduction in our direct RC drilling costs per meter. We're currently negotiating insurance premiums for the combined entities, which we anticipate saving more than $600,000 per annum, or 20% of our total premiums. Additionally, we have renegotiated our surety bonding in Nevada, which will see approximately $6.5 million of cash return to Calibre in Q2 with a reduction in annual maintenance costs.  Looking to the future, we commenced our 170,000 meter drill program across all assets which Tom will provide more color on shortly. but I'm particularly encouraged with initial results from five-fold increase in drilling over previous years, is yielding the strong results. At Gold Rock, we are progressing technical studies and advancing support for state permitting, all of which should position us to be able to clear reserves at the end of this year, with the potential for the project to double gold production in Nevada. With Libertad having over 1 million tonnes of surplus processing capacity, we're well-positioned for additional volume base, low capital intensity, organic production growth. More importantly, I see significant rate driven production growth in 2023 and 2024 as we advanced development of higher grade reserves at Pavon Central and Eastern Borosi. All of which positions Calibre with an incredible opportunity to continue unlocking shareholder value by organically increasing production and cash flows, while self-funding exploration and growth supported by clean balance sheet.  With that, I'll turn it over to David to discuss our first quarter financial results. 
David Splett: Thanks, Darren. Turning to slide four. As Darren mentioned, we have a strong production quarter along with closing the Fiore transaction and integrating the assets. And in reference to Darren's comments regarding our acquisition synergies. I'd like to highlight that our realized cost reductions helped to underpin our cash position of $77.3 million at March 31. It's also worth mentioning that the $77.3 million is after paying total acquisition cash components of approximately $19 million associated with the transaction, including an $8 million payment to shareholders and it's also after paying a $9 million tax bill to the Nicaraguan Government for our annual taxes in March of this year.  As a stronger consolidated company, we have been successful during the quarter to crystallize acquisition synergies, and we expect to build cash over the near term while supporting a robust investment program. Looking to the chart on the left on page four, the $27 million invested during the quarter included $12.5 million for exploration, and the remainder on property, plant and equipment and development, Nevada attracted $6.5 million of investment largely focused on exploration. We continue to have success with the drill bit and we expect our overall capital investments will fall within our annual guidance. However, our exploration teams are proving to be very efficient, and we should see significantly more meters drilled for the same overall cost. In the table on the right, we are showing cash flow from operations pre-working capital adjustments to provide a clear comparison between the quarters. Cash flow from operations has been impacted by the strategy to increase our warehouse inventory starting in Q4 of 2021 and during Q1, 2022 to mitigate numerous supply chain risks that exist in the post-COVID world. The March 31, 2022 cash position, as I mentioned earlier, was also impacted by the $9 million payment for annual Nicaraguan income taxes. And it's also notable that we largely offset the impact of approximately $3 million of inflation through various commodities in comparing Q1, 2022 with that of 2021. As messaged earlier this year, our forecasted cash margin will continue to be strong through 2022 backed up with higher grades and growing reserves, which will drive future production growth. We have a progressive investment plan for Nicaragua and Nevada funded by strong operating cash flows, all of this while being very attentive to maintaining significant corporate liquidity to mitigate world event risks that currently are present and also to support growth opportunities. I'll now hand the call over to Tom to discuss our Nevada assets.
Tom Gallo: Thanks, David. Moving to slide five. Our Nevada properties provide Calibre with considerable exploration potential across a 220 kilometer squared land package. We see excellent potential for mine life extension at Pan, resource growth at Gold Rock and opportunities for further optimization of the existing operations. Initial drill results from Pan reported during the quarter are very encouraging, as we step out from known resources along the Branham Fault Zone. Historically, the primary control for ore grade mineralization at Pan between the North and South Pan pits as seen here on the map. We see opportunity to add more resources at Dynamite, which is an emerging high priority target. We are also encouraged by the early results at the Pegasus target located on the northeast edge of the operating South Pan pit, as well as other areas proximal to previously reported mineral resources and we believe expansion potential is favorable. We're exploring numerous dilation zones between the main resource pits along the trend of the main Branham Fault Zone at targets originally identified by the Fiore team. Calibre will continue to aggressively drill at Pan as part of a 50,000 meter program slated for 2022. And thus far, we've only released five holes drilled this year, so we expect continued results to be released to the market as we progress. Some targets shown on the smaller map here in the green ovals have yet to be drilled, but have demonstrated strong geochemical and geophysical anomalies and will be the focus of drilling later this year. At Gold Rock, an advanced stage project, which gives us the opportunity to double Nevada production in the future. We continue to advance infill and geotechnical drilling, technical studies and state permitting initiatives with the aim of de-risking the project ahead of declaring maiden reserves. We recently completed geological model updates and metallurgical testing confirming our belief that Gold Rock will be a heap leach operation. We have an ongoing 35,000 meter multi rig drill program active on site. That in addition to what's been discussed, we'll look to explore resource expansion potential. Just briefly in Nicaragua, we are encouraged by the results of our ongoing 85 kilometer program, particularly at [Indiscernible] Volcan located five kilometers from the Libertad mill and Panteon North, a new high grade target in the Limon district, the latter of which we expect to update the market on in short order.  With that, I'll hand the call back to Darren to conclude the presentation.
Darren Hall: Thanks, Tom. Moving to slide six. I'm proud of the progress the team has made on several initiatives as we continue to strengthen community infrastructure, awareness, inclusivity, positively benefiting all of our stakeholders. The mutually beneficial relationships are reflected in our demonstrated ability to efficiently deliver permits. With an excellent start to year record gold sales, delivered at a cash cost of 1060 per ounce, and all in sustaining costs are less than $1,200 an ounce. We're well-positioned to deliver on our full year guidance. With significant grade driven production growth expected in 2023 and 2024, Calibre is faced with an incredible opportunity to continue unlocking shareholder value by identically increasing production and cash flows, given the ability to self fund exploration and growth supported by a clean balance sheet. With that, we're happy to take questions. And I'll pass it back to the operator. 
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Michael Fairbairn from Canaccord. Your line is open. Please go ahead.
Michael Fairbairn: Thank you, operator. Congratulations for a very strong start of the year. First question is around Pan cash costs in Q1, very strong out of the gate from Pan with Q1 cash costs coming in well below guidance for the year. Wondering if you can give a little bit more detail about what drove that and how you see cost developing in Nevada as the year progresses?
Darren Hall: Sure. Thanks, Michael. And maybe I'll provide a little bit of context and pass it over to David for a little more granularity. And I guess, I'll preface the answer by when we provided guidance that was about a month after completing the transaction. And basically, the way we generated the guidance for Nevada is we took the theory of whole of business costs as a base. We included some additional waste stripping, and we reflected some additional anticipated cost pressures from a price perspective. And that's what provided the basis for which we guide it. Now, we understood at that time, there was going to be some opportunities to improve upon that position. But given we hadn't demonstrated or secured those benefits, we thought, well, it's prudent for us to take that approach. I covered some of the things we thought we'd realized in Q1. But David, is there anything you'd like to kind of layer on that in terms of some granularity on some of those costs looking forward?
David Splett: Right, So, when we think about Pan, the way we'd like to think about it is you had a single asset carrying the full value of their Toronto offices. So the one thing we did as a senior management team was we moved very quickly in Q1 to reduce or crystallized synergies and we reduce payroll costs substantively, from the executive side. We eliminated the Toronto office. And as Darren referenced during the presentation, we've reduced insurance costs, we've gone after commercial contracts, group buying opportunities, and we've worked across the piece. Also, during Q1, we completed our accounting for the integration. And the accounting for the integration moves some of the costs around the heap leach inventory back into mineral interest. And that's an offside conversation with the folks afterwards. And that moves the costs a little bit. But largely, it's a tribute to, number one, the stripping was a little bit better than we anticipated. Two, we produce a few more ounces than we plan to. It was actually substantially more than our budget. And three, we reduce costs and four, bit of purchase price accounting, if that's enough clarity for you.
Michael Fairbairn: Yes. That's very helpful. Thank you. And maybe just one more for me if I can around the G&A expense. So, a bit of an increase as expected on the back of the Fiore transaction. The expense creeping up to about $3.1 [ph] million in the quarter. Wondering on a go forward basis, do you expect it to stay around these levels? Or could it move up or down from here and impacts from the Fiore transaction continue to crystallize? 
Darren Hall: Yes. Probably I will pass it to David, Michael, because, again, there's some rush through in Q1 and how that looks as we go into Q2, Q3, Q4, David is in a better position to be able to talk about.
David Splett: Well, in Q1, we had a few one time costs, and I don't suspect that, and I'm not going to provide guidance at this point in time, because we'd have to discuss it as a management team. But suffice to say there were one-time transaction costs that were included in there. And we think it would on a trend basis come down a bit from where you're seeing it right now. So there was about a $1 million included in there as a one-time.
Darren Hall: Yes. And the one thing I'd layer on there, Michael is, as we work through Q2, we'll have probably more clarity on how it looks going forward as we work through, watch through all of those changes. And we've seen significant change in Q1 and we see opportunities as we go into Q2 and how that rolls up for the balance of the year and into 2023. I expect those will continue to see changes, but it's probably a little too early to foreshadow what that will look like.
Michael Fairbairn: Okay, perfect. That's very helpful. Well, congrats on a good quarter again. And that's it for me.
Darren Hall: Thanks Michael.
Operator: Thank you. Your next question comes from the line of Justin Stevens from PI Financial. Your line is open. Please go ahead. 
Justin Stevens: Hey, guys. Obviously, congrats on a good start to the year here. Good to see costs falling, where they did. Just a couple of quick questions for me. From the Nicaraguan side, I noticed that the ore deliveries from Pavon were quite a bit ahead of the actual open pit production there. Unexpected issues in terms of the sort of order flow from Pavon in terms of Q2? Or is that mostly just ore that was previously stockpiled making its way over time now?
Darren Hall: Yes Justin, thanks, and in terms of deliveries from Pavon, you know, what we're seeing there is just a drawdown of inventory that we built in the latter part of last year. Pavon Norte continues to deliver as plan. And we're looking forward to Pavon Central coming on towards the rear end of the year. And that's, as we've kind of a good segue into an update on permitting there is that we've had some community consultation, and that program is progressing a little quicker than what we originally anticipated. So we're pretty comfortable. Obviously Pavon Central permits in place before the end of the year allowing to bring that on. So Pavon continues to deliver as expected and probably a little ahead in terms of the development opportunities. 
Justin Stevens: That's good to hear. I guess Central, if I'm not mistaken, is higher grade even in the Norte material? 
Darren Hall: Significantly high grade. Yes. I mean, we have roughly double. I mean, we get the reserve grades of Pavon Central 6.5 grams. And we look at the end the grade at Pavon around three or the less. There's going to be significant torque from production and a cash flow perspective.
Justin Stevens: Yes. It's always good to hear that things are progressing a little bit faster than planned. And then the other question I had just in terms of the operations. Obviously, you guys are pre-stripping Limon Norte, and La Tigra. Is that material pretty much destined to make it to believe, you think volume on plant or I mean, I noticed you're shipping over 1000 tonnes a day in Q1 from Limon and La Libertad, I mean, I'm sure you'll play around based on well, how much work is actually coming out from the various sources of Limon. But is it safe to assume that that anything extra will probably be thrown on a truck and brought down La Libertad? 
Darren Hall: Yes, absolutely. I mean, if we look at the development, we've seen at La Tigra and the Limon, Norte, we're actually making -- we're headed from a waste stripping perspective, which is great, because those higher grade ounces were fortunate to come in and kind of really started in Q1 of 2023, with a little bit in Q4. So we're likely to see a little bit of a buffer there and just be having those ounces come on earlier this year. In terms of the mass balance of what goes where, I mean, given the nature of the materials, we're pretty much agnostic as to what material is treated where. There is no significant benefits from trading high material type at Limon, La Libertad, which is great, but provides us an incredible amount of flexibility. As we see the opportunity to increase rates of delivery from Limon to Libertad will continue to. But our focus still remains to ensure that we can do it responsibly, and through the course of this year, we'll start to look for opportunities to do it more efficiently in terms of positively impacting costs. And from an all movement perspective, our focus for us is really to ensure that as we look to delivering Eastern Borosi later this year and into early 2023, we're well-positioned to do that. So, if I looked at it from a priority in terms of ore movements, it would be continuing what we're doing getting better at it, and then looking at the opportunity to bring Eastern Borosi ore across late this year, early next.
Justin Stevens: That sounds good to me. It sounds like things are lining up such that obviously don't get heavier ahead of yourselves in any way. But if everything lines up Q4 could be a pretty strong quarter even potentially stronger than initial guidance might suggest.
Darren Hall: Again, things are looking good for this year. We're only a quarter in, so we've still got three quarters of a year to go. But everything's coming together quite nicely. And more so, I'm particularly encouraged about how this lines up for 2023 and 2024. Anticipating the production growth and cash flow growth.
Justin Stevens: Yes. The year-end sort of an arbitrary line. It's not like a good improvement will suddenly drop off at the end of the year. It should be -- should hopefully, setting you up well for 2023?
Darren Hall: Absolutely. And it's about and it's -- yes, it's continue delivering existing operations. And then as we bring on the Pavon Central and Eastern Borosi, it's like that's where we're going to see significant torque as those foreshadowed earlier with the grade-driven portion of there was 6.5 grams coming out of Pavon Central reserve grade, and 6.8 out of Eastern Borosi. That setting ourselves up very nicely. And as we look forward over the next couple of months, as a management team are looking carefully about our opportunity to go for some foreshadowing some of that outlook in the next couple of years as well. So look forward to being able to have those discussions before too long.
Justin Stevens: Great. One last thing for me. As expected with the Pan coming into the fold, your inventories carry obviously went up. I'm assuming that increase was primarily reflective of the leach pad inventory going up? And can we assume that your sort of inventory levels will probably stay around Q1 levels going forward? 
Darren Hall: David, you want to address the question? 
David Splett: Sure. Thank you. I think when you're looking at our financial statements you see about $93.7 million in inventories and you're correct. It's the ore on the leach pads, that adds about $34 million from the December 31, number of 2021. So where we finished December at $54.4 million, there's another 34 on top of that, and a bit more for MRO, so the warehouse inventories as we talked about during the presentation, to mitigate the COVID situation and the supply chain issues. So those are the two primary drivers of it. And a bit more of in circuit inventories in Nicaragua. But that flushes out during each quarter usually? 
Justin Stevens: Great. Yes. That's good. Just to make sure I'm in the right ballpark. Alright, that's it for me. Thanks a lot. 
Darren Hall: Appreciate it, Justin. Thank you. 
Operator: And your next question comes from the line of Geordie Mark from Haywood Securities. Your line is open, please go ahead. 
Geordie Mark: Thank you. Good morning, Good afternoon, wherever you are guys. [Indiscernible] Although, there have been guidance, implemented about your cost controls. Some questions and maybe, it’s a extension on a question earlier in terms of stripping ratio at hand. Was the lowest stripping ratio that has been predicated earlier about effective timing. So do we expect more materials just pop into subsequent quarters or was that sort of a combo or more ore found versus waste. I am just trying to get an idea relative to strip ratios between now and later?
Darren Hall: Hi Geordie. And I think I've got most that. I'm actually calling in from Nicaragua. So my line, clarity wasn't perfect, but I think the question was related to strip ratio at Pan. Is that correct? 
Geordie Mark: Yes, that's right. Just wondering on the early conversation about the strip ratios being lower than predicated. And whether that was a time in terms of access or just exportability versus your if you get to then export those in subsequent quarters or whether there was a function of finding more than expected?
Darren Hall: Okay. There was a -- coming into the assets we realized there was an opportunity in 2022 to increase stripping, well that a billion and a half tonnes, because there was a lag or a debt that we believe that if we caught up with position instead of for 2023. Looking at how we performed throughout the year, we anticipated the strip ratio around 2.4 over the year with a little bit front end weighted, and that's just as we take the opportunity to catch up on that rate stripping. So we see the model performances as expected. This is truly about a just kind of getting mind sequencing back to where we would like to see as to give us the flexibility for blending onto the pad. And secondly, to set us up nicely for 2023. That's really the gist of the strip ratio discussion, I think. 
Geordie Mark: Okay, great. Thanks. And in terms of looking to move granular, just in terms of the distribution [Indiscernible] are you getting as a reconciliation there in terms of great expectation versus execution?
Darren Hall: No, grade reconciling pretty well, I mean, over the last two years, we've taken all of what we're kind of what we call it legacy models. And then we own all those estimates. And we did a significant update here at the end of 2021. So using reconciling against those grade estimates, we see models performing as expected. In some instances, a little better, but generally speaking, pretty consistent with. So I think our ability to predict is actually very, very good. We had seen high levels of variability historically. But again, as I mentioned, due to the kind of reworking all of the models, I think we're in a very good position. Interestingly, as we've come into Panteon, El Limon, we've actually seen some positivity in those higher grade stopes as well, which is good to see, which probably reflects that, as we get into higher grade areas, probably the tendency will be for us to understate rather than overstate grades. So which is a good position to be in of course. 
Geordie Mark: And maybe an extension coming back to the cost savings that you've sort of implemented across Nevada, you being a larger company et cetera. On fuel, gives you a range of other initiatives. Do you expect any other savings to come through or is this kind of outlined share those stated activity sort of hooked in now, and then settle, [Indiscernible] inflation in the coming quarters? 
Darren Hall: Yes, Geordie I mean, I think as David and I both talked about, we saw some synergistic savings, to realize the fact that we don't need to have what once up to something, we have one of something and then leveraging up the scope and scale of the organizations. And for example, the diesel was really quite low hanging fruit. So rather than buy rack, we actually went to a contractor to buy. And that was a $0.06 a gallon saving. So as we look forward, I think there's going to be opportunity from -- for example, cyanide, Nevada's particular cyanide from in liquid form, as opposed to dry form. And I think -- and we do it dry in Nicaragua, I think there's going to be an opportunity to install a little bit of infrastructure go to dry, which will save some cost savings. So I think as the year unfolds, I think we'll continue to see opportunities to realize opportunistic savings both from a synergistic perspective in terms of the largest scale of the organization from leveraging mainstream [ph]. And secondly, from the fact that we can afford to invest small portions of capital that will have a very positive impact on an all-in sustaining cost basis, which the team didn't have historically due to the nature of the business. So I'm pretty confident. There is going to be opportunity. So they're going to be is there a one miraculous change. No. But I think what we're going to see is, is that as we've done in Nicaragua, there's going to be that consistent, persistent approach to looking to eliminate waste and improve efficiencies. We'll continue to get better at what we do. And again, we'll be able to -- the guys in Nevada done a great job. The fact that we can afford to support them at this point, I think that we're looking for just some good changes as we work through the years.
Geordie Mark: Okay. Thanks.
Darren Hall: Alright.
Operator: Thank you. [Operator Instructions] There seems to be no further questions at this point. Presenters, please go ahead. 
Darren Hall: Thanks. I would like to thank all of our shareholders for their continued support and everyone in the call today for your participation and questions. It is appreciated. Understanding your time is valuable and lots of things happening. So appreciate you taking the time to engage with us. And as always Ryan, I and the leadership team are available. If you have any questions post the call, or at any time during the year. So please reach out. Don't be stranger. And we look forward to your feedback. So thanks very much. Take care and back to you, operator.
Operator: Thank you so much presenters. Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.